Operator: Thank you for standing by. My name is Karen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Franklin Street Properties Corporation fourth quarter and full year 2024 results. All lines have been muted to prevent any background noise. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star followed by the number one on your telephone keypad. To withdraw your question, press star followed by the number one again. I will now turn the call over to Scott Carter, general counsel. The floor is yours.
Scott Carter: Good morning, and welcome to the Franklin Street Properties fourth quarter 2024 earnings call. Joining me this morning are George Carter, our Chief Executive Officer, John Demeritt, our Chief Financial Officer, Jeff Carter, our President and Chief Investment Officer, and John Donahue, President of FSP Property Management. Also joining me this morning are Toby Daley and Will Friend, both Executive Vice Presidents of FSP Property Management. Please note that various remarks that we may make about future expectations, plans, and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward statements as a result of various important factors, including those discussed in the risk factor section of our annual report on Form 10-K for the year ended December 31, 2024. In addition, these forward-looking statements represent the company's expectations only as of today, February 12, 2025. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company's estimates or views as of any date subsequent to today. At times during this call, we may refer to funds from operations, or FFO. Reconciliations of FFO and other non-GAAP financial measures to GAAP net income are contained in yesterday's press release, which is available on the Investor Relations section of our website at www.fspreit.com. Now I'll turn the call over to John Demeritt.
John Demeritt: Thank you, Scott. Good morning, everyone. I'm going to give a brief overview of our fourth quarter results. Afterward, I'll pass the call to George for his thoughts. As a reminder, our comments today will refer to our earnings release, supplemental package, and 10-Ks, which, as Scott mentioned, can be found on our website. We reported funds from operations of $0.03 per share for the fourth quarter of 2024 and $13.3 million or $0.13 per share for the full year of 2024. We also reported a GAAP net loss of about $8.5 million or $0.08 for the fourth quarter of 2024 and a net loss of $52.7 million or $0.51 per share for the full year of 2024. With that, I'll turn the call over to George.
George Carter: Thank you, John. And, again, welcome to Franklin Street Properties' fourth quarter full year 2024 earnings call. During the fourth quarter of 2024, we leased a total of approximately 252,000 square feet of office space within our approximately 4.8 million square foot directly owned property portfolio. As previously reported, on October 23, 2024, we completed the sale of our last property in Atlanta, Georgia. The property known as Pershing Park Plaza sold for a gross selling price of $34 million.
John Donahue: On October 25, 2024, we repaid approximately $27.4 million of our debt with a portion of the debt proceeds from the Pershing Park Plaza disposition. As of October 25, 2024, and December 31, 2024, our total indebtedness was approximately $250.3 million, equivalent to approximately $52 per square foot on our remaining approximately 4.8 million square foot directly owned property portfolio. As we began 2025, we are seeing, at least for now, a general increase in office property activity. More employees are coming back to the office. There are clearer longer-term leasing requirements from bigger tenants, and more capital is showing an interest in potential lending and equity investing in office. If this current increase in office activity continues, it should offer FSP exploration of better, more diverse opportunities to try and realize what we believe to be the solid intrinsic value of our underlying real estate assets for shareholders. I will now turn the call over to John Donahue, President of our property management company, for some color on leasing.
John Donahue: Thank you, George. Good morning, everyone. The FSP directly owned portfolio was approximately 70.3% leased at the end of the fourth quarter compared to 70.4% leased at the end of the third quarter and 74.0% leased at the end of calendar 2023. The decrease in leased occupancy during 2024 has been attributable to multiple property dispositions and to lease expirations. Economic occupancy of the directly owned portfolio was compared to 70.1% at the end of calendar 2023. The decrease was primarily due to multiple property dispositions during the year. FSP finalized approximately 616,000 square feet total leasing during 2024, which included approximately 252,000 square feet of total leasing during the fourth quarter. Approximately 445,000 square feet of renewals and expansions were executed in 2024 along with 171,000 square feet of new tenant leases. Leasing activity gained momentum during the second half of 2024 and finished strong in the final quarter. The pipeline of leasing prospects continued to increase into the first quarter as the overall number of new prospects seeking at least a full floor continued to trend upward. Square feet of prospective new tenants, including nearly 350,000 square feet of prospects that have identified FSP assets on their respective shortlist. In addition, FSP has been working with approximately 500,000 square feet of potential renewals and expansions. Scheduled lease expirations total approximately 322,000 square feet, which represents approximately 6.7% of FSP's directly owned portfolio. The new tenant pipeline combined with a modest amount of lease expirations in 2025 provides FSP with an opportunity for positive net absorption during the next twelve months, barring any surprises or the impact of potential dispositions. Thank you. I will now turn it over to Jeff Carter.
Jeff Carter: Thank you, John, and good morning, everyone. I will provide an update on our disposition activity for the fourth quarter of 2024 and for the full year, as well as our perspective on current market conditions. In 2024, FSP completed the sale of three properties for total gross proceeds of approximately $100 million. During the fourth quarter of 2024, and as previously reported, we sold our Pershing Park Plaza property in Atlanta for $34 million. Since the inception of our current disposition program that began in late 2020, FSP has completed approximately $1.1 billion in gross property sales that have resulted in an approximately 75% reduction in our corporate indebtedness and underscores our focus on strengthening our balance sheet and increasing financial flexibility. While every property sale reflects unique attributes such as location, occupancy levels, tenancy, and rental rates, the sales completed to date in our disposition efforts have averaged approximately $211 per square foot. We continue to believe that our current share price does not accurately reflect the intrinsic value of our underlying real estate assets, and we will continue to seek to increase shareholder value by pursuing the sale of select properties when we believe that the short to intermediate-term valuation potential has been reached. Turning to market conditions, the office sales environment within our markets remains challenged during the fourth quarter of 2024 and was primarily dominated by buyers seeking distressed pricing. Liquidity in the marketplace has been constricted with both debt and equity capital having been difficult to secure for prospective buyers and existing owners. This has been compounded by what has been soft tenant demand, elevated vacancies, and uncertainty. Despite such headwinds, there are emerging signs that 2024 may have represented a bottoming in the market with anecdotal optimism anticipating potential incremental progress in 2025 and beyond. Factors such as potential interest rate stabilization, improving liquidity conditions, employer-led initiatives to bring workers back to the office, and improving leasing conditions could drive improvements in sentiment for stronger sales conditions and will bear watching. Where non-distress transactions are occurring in our markets, they still tend to be smaller dollar-sized deals involving high-quality, well-leased properties in strong locations. Larger traditional institutional buyers in our markets who favor core, core-plus property, or high-quality value-add properties have been largely absent thus far, and we are closely monitoring these trends as conditions evolve. Proceeds from any property sales will continue to be primarily used to reduce debt, further enhancing our financial flexibility and positioning the company to pursue any path that maximizes value for our shareholders. As previously discussed, for competitive reasons, we will not be discussing potential disposition information beyond what is included in our filings. As our primary goal is to maximize the value achieved on each sale to our shareholders, and in the current environment, we have found this to be in the best interest of our stakeholders. We remain committed to working with our teams and market professionals to identify and engage credible buyers capable of closing transactions. And with that, we thank you for listening to our earnings conference call today. And now at this time, we'd like to open up the call for any questions. Karen?
Operator: At this time, I would like to remind everyone in order to ask a question. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Steven Dumanski from Janney. Please go ahead. Your line is open.
Steven Dumanski: Thank you. There was a significant uptick in leasing for the fourth quarter. True testament to your team's diligent efforts here. Can you please expand on the robust leasing velocity for the quarter? Like, any information regarding which geographies and tenants contributed to this drive? That would be greatly appreciated.
John Donahue: Good morning, Steve. This is John Donahue. Sure. I can give you a little bit of color on what happened as we closed out the year. We have been witnessing pretty steady new tenant activity in Houston all year throughout calendar 2024. We were able to finalize some new deals. We also had several new deals in Minneapolis that we've been working on for quite a while that finally we were able to get over the goal line. For the year, I would say that the two strongest markets were Houston and Denver, for the fourth quarter, Houston and Minneapolis. We were able to engage subtenants in Dallas for some renewals, and we're hoping to do more of that in the coming year. As far as the industries, it was pretty diverse. We had government, health care, business services, energy, chemical, construction, agricultural, so pretty diverse. The one industry that's been sort of lacking is tech, and we'd like to see tech come back as well. So we're very encouraged by the trend. We're hopeful that far north Dallas will also gain from the current increase in activity. We're seeing an uptick there, and that's well needed. So, yeah, the downtown markets have done better over the last six to twelve months, and the suburban markets will continue.
Steven Dumanski: Thank you. That was helpful. You expressed that government as a tenant was a contributor to this growth. Just be interested to see with Doge, would that be effective of any of your properties? In terms of termination of leases or move-outs, or is that just more not applicable?
John Donahue: So the short answer would be that we don't expect any impact from our existing tenants, whether they be the national government, the Fed, or local government. We don't have any early options to terminate, so we're not expecting any impact at all. If you look at our tenant roster, the top twenty tenants on page seventeen of the supplemental, you'll see that we do have one US government lease rolling in thirteen months. And we are engaged with them for a potential renewal, which is a good indicator. So hopefully, that will come to fruition. But the short answer is no. We don't expect any impact.
Steven Dumanski: Thank you. That's all for me.
Operator: Thank you. That concludes our Q&A session. We will now turn the call over to George Carter for closing remarks.
George Carter: Thank you, everyone, for listening to our earnings call, and we look forward to updating you between now and our next earnings call and talking to you on our next earnings call. Thank you, and have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.